Operator: Good afternoon, and welcome to the Vyant Bio First Quarter 2022 Earnings Conference Call and Webcast. Today, May 16, 2022, the company issued a press release summarizing results for the first quarter 2022 and filed its Form 10-Q. Today's discussion will provide an overview of activities in the first quarter and 2021 [Audio Gap] is being recorded and a replay of the webcast will be available on the Vyant Bio website following today's call. Alternatively, the link can be sent to you by contacting ir@vyantbio.com. All participants on this call will be in a listen-only mode during the presentation. The presentation will be followed by a question-and-answer session. At this time, I would now like to turn the conference over to Jay Roberts, Chief Executive Officer of Vyant Bio. Please go ahead, sir.
Jay Roberts: Thank you, operator, and thank you all for joining the Vyant Bio investor conference call and webcast for the first quarter 2022. We're pleased to have a fresh start to the year for Vyant Bio beginning in many ways. We spent the first quarter fully focused on progressing our scientific research and development, business plan, and our call today will articulate some of the scientific insights that we have gained in the quarter, along with our financial results for the quarter. As such, on the call with me today is Via Bio's Chief Financial Officer; Andy LaFrence, and our Chief Scientific Officer, Dr. Robert Fremeau. Following the Safe Harbor statement, I will start out describing the corporate initiatives we have accomplished so far this year. Then Dr. Fremeau will provide an overview and update on recent scientific achievements made in the quarter and the vision ahead. Finally, Andy LaFrence will take us through a brief financial update and discuss key accounting matters for the first quarter 2022. I will make some closing remarks, and then we will open up the lines for questions. I will now turn the call over to our CFO, Andy LaFrence.
Andy LaFrence: Thank you, Jay, and welcome to all. We would like to remind everyone that various comments about future expectations, plans, prospects, constitute forward-looking statements for purposes of Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Vyant Bio cautions that these forward-looking statements are subject to risks and uncertainties that may cause our actual results to differ materially from those indicated including risks described in the company’s filings with the Securities and Exchange Commission. Any forward-looking statements made on this conference call speak only as of today’s date, Monday, May 16, 2022, and Vyant Bio does not intend to update any of these forward-looking statements to reflect events or circumstances that would occur after today’s date. This conference call is also being recorded for audio rebroadcast on Vyant Bio’s website at www.vyantbio.com. With that, I would like to turn the call back over to Jay Roberts. Jay?
Jay Roberts: Thank you, Andy. As we begin the call, I think it's important to remind everyone we committed to our shareholders during the first quarter of 2022 to solely focus Vyant Bio as an emerging global drug discovery company pursuing the discovery and development of novel and repurpose therapeutics to treat neurodevelopmental and neurodegenerative diseases such as RET syndrome, CDKL5 deficiency disorder or CDD, and Parkinson's disease. We believe that as we execute our focused strategy, to develop and bring important therapeutic assets into our pipeline, we hope to enhance our shareholder value. Let's begin with a few highlights. As we've discussed on our previous call, we have 4 key discovery programs underway. And today, we will take you through some of our recent scientific data, which Dr. Fremeau will discuss in a few minutes. We entered the first quarter of 2022, focused on bringing a repurposed drug candidate VYNT 0126 into clinical trials in the first half of next year. Our first two novel drug candidates, which support the two rare diseases we noted, are in lead identification phase of discovery with our R&D teams. We have more work to complete on a compound selection through an iterative process, including high-throughput screening on our 3D microBrain platform, the application of AI technologies on the chemistry, which is being done by our partners as well as our own analytics are interrogating the biology, to our own proprietary machine learning system. We're hoping to report our lead candidates for these programs late this year, as we move into the lead optimization phase early in 2023. I'll now highlight the key business accomplishments for the first quarter and related actions we are taking, as we head into the second quarter of 2022. First, as we discussed on our last webcast, we announced an important collaboration agreement, which we entered into with a promising company and scientific team from OrganoTherapeutics, a developer of proprietary, patient-specific organoids that recapitulate Parkinson's Disease pathology. We believe this collaboration will accelerate our ability to discover small molecule therapeutics to treat patients with Parkinson's disease. The collaboration brings together the respective team's expertise, in drug discovery using human derived cells, high throughput biology and chemistry and machine learning-based therapeutic design. Together, we will focus on the identification of drug candidates that rescue the Parkinson's disease phenotype through the development of disease linked clinically translatable assays and biomarkers through multiple molecular, biochemical and cellular methods and applying machine learning techniques to yield unbiased results. We know that therapies for diseases that affect the CNS are difficult to discover and requires innovation and exceptional scientific expertise to tackle. Our collaboration, like a few others we have entered is another in a series of strategic moves to focus our efforts while accelerating our position in drug discovery. So the use of technologies that allow insight into human biology early into discovery of CNS drugs. Second, we've made a strategic decision earlier this year to further focus our business and our people on drug discovery and move away from providing preclinical CRO services. We engaged an investment banking team with significant experience in transacting preclinical contract research organizations to assist us with the divestiture of our vivoPharm preclinical services business. We recognize that vivoPharm is a well-run business and a skilled scientific staff, our exit from the preclinical CRO services business will allow us to put all of our human and capital resources on our R&D efforts to discover and develop therapeutic assets for CNS diseases. We are currently entertaining several indications of interest from qualified parties and have a robust M&A expression of interest process that we believe will yield a favorable transaction for both sides. The intended result of this transaction will be incremental, non-dilutive cash to our balance sheet that provides fuel for our business. We are working hard to do our best in closing transaction in the next 60 days to 90 days. Further, as we noted in prior calls and quarterly reports, we have relocated our R&D facilities in La Jolla, California to a new location thereby, that move is substantially complete. We now have redundancy and strong scientific R&D teams in both of our R&D facilities at Maple Grove Minnesota and San Diego, California, progressing on our internal CNS drug discovery pipeline. Third, we implemented two new financing vehicles to facilitate the raising of additional equity capital at the company's option with an equity line of credit provided to us by Lincoln Park Capital, allowing access to raise up to $15 million, as well as signing and up to $14.5 million At the Market or ATM facility with Canaccord Genuity. Andy will discuss this further in a few minutes. To highlight that our current cash balances, future proceeds from the divestiture of our vivoPharm business and future proceeds from the equity line of credit and ATM are expected to fund operations well into 2023. Fourth, we're participating in investor conferences to get our focused vision in front of investors and our shareholders. In January, we presented at the H.C. Wainwright Bioconnect Conference and last week we participated in the BioNJ's 12th Annual BioPartnering Conference. We will also be in Miami next week presenting at the H.C. Wainwright Global Investor Conference. I hope that you can join us there. Finally, we're also focusing on additional shareholder engagement during the coming months to communicate our strategy to both retail and institutional investors. With that, I will now turn the call over to our Chief Scientific Officer, Robert Fremeau.
Robert Fremeau: Thank you, Jay. I am thrilled to have the opportunity to discuss the Vyant pipeline. At Vyant Bio, we are pioneering a new way to discover medicines for complex neurodevelopmental and neurodegenerative disorders. We have developed a CNS drug discovery platform that combines human, patient-derived organoid models of brain disease, biology at scale and machine learning to discover novel CNS drug candidates.  Most drugs fail in the clinic due to lack of efficacy. This is especially challenges the CNS drug development, where the available animal models have poor predictive value. Our approach is designed to allow us to identify therapeutic candidates that are active and assume a disease setting at the early stages of a program potentially bypassing the need for animal models with efficacy.  I have some exciting data to share with you today, which is the validation we have been working on to support the identification of our lead clinical compound, VYNT0126. Our first two novel drug candidates would support the two rare diseases we noted are in the hit the lead identification phase of discovery with our R&D teams. We have more work to be done on compound selection through an iterative process, including high throughput screening on our 3D microBrain platform, the application of AI technologies on the chemistry, which is being done by our joint venture partner and collaboration partners, as well as our own analytics for interrogating the biology through our own proprietary machine learning system. We are hoping to report our lead candidates for these programs late this year and progressed to clinical candidate selection early in 2023. We are continuing to refine -- our focused scientific approach in validating our human-first drug discovery platform. Our scientific team has pioneered the development of organoids models of human brain disease from patient-derived induced pluripotent stem cells that are sufficiently robust and reproducible to be amenable to high throughput screening.  A key element of our strategy is the identification of relevant drug targets based on therapeutic hypotheses that we derive from our investigation of human disease type of physiology and the use of quantitative biomarkers to provide meaningful human biology derived preclinical signals of drug efficacy to drive compound advancement.  As we established our CNS drug discovery platform, we knew that we needed to employ the most innovative technologies to accelerate our drug discovery efforts and establish our competitive advantage. To this end, we established a proprietary technology platform AnalytiX that is purpose built for progressing, the processing, aggregation and storage of large data files containing digital images of biological activity, primarily derived from our organoids models for use in our downstream data analysis and machine learning models. We have developed an efficient process to translate drug experiment designs from the lab into machine readable formats, process large data sets sourced directly from laboratory equipment and to extract unbiased quantified representations of biologically relevant features to enable the characterization of disease states, the profiling of treatment effects and the assessment of possible toxicity or adverse events. Rett Syndrome is a rare genetic autism spectrum neurological disorder that leads to severe impairments affecting nearly every aspect of the child's life, including their ability to speak, walk, eat and even breathe easily. The hallmark of Rett is near constant repetitive hand movements and seizures. Rett is usually recognized in children between six to 18 months as they begin to miss developmental milestones or lose the abilities they had gained. Rett is primarily caused by mutations on the X chromosome in a gene called MECP2. As you can see on this slide, our Rett tissue brain spheroids exhibit a unique disease specific functional phenotype that is markedly different from that of healthy controlled organoids and can be measured in a high throughput fashion using kinetic imaging systems such as FLIPR. We used our AssayAnalytiX program to extract and quantify the disease specific features of the Rett spheroids wave forms showing the spheroids on the right, including things like peak morphology, peak heights and frequency among others. As shown on this slide, our ability to reproducibly generate Rett neurospheroids that exhibit consistent and robust functional phenotype differences across multiple independent experiments provides a basis for our ability to screen for drug candidates that can rescue the disease phenotype. We currently have two promising ongoing programs focused on Rett. A repurposing candidate, VYNT0126 and several novel compounds that are directed against two distinct targets that were identified based on a phenotypic screen of the smart library provided to us by the International Rett Syndrome Foundation screens on our Rett patient-derived organoids. This slide shows that VYNT0126, it is the dose dependent rescue of the Rett functional phenotype following chronic treatment that is correlated with target engagement in the Rett spheroids. The spider plot in the middle shows dose dependent rescue of individual parameters of the pipe wave form. This data is summarized in the graph on the right, which shows that rescue of individual super parameter occurs at nanomolar concentrations of drug and may not need full target engagement. Importantly, VYNT0126is known to reach these levels of concentration in the human brain. The VYNT0126 molecule is a promising repurposing candidate for several reasons. The compound has already been approved by the FDA as a cognition-enhancing medication for dementia related to Alzheimer's disease and there are readily available safety data, VYNT0126 exhibits a consistent dose dependent rescue of several Rett disease phenotypes and our Rett patient-derived organoids and we are working with the International Rett Syndrome Foundation to file an investigational new drug application for Rett repurposing candidate in Q4 of 2022 and the request Orphan Drug Designation. We are meeting with the clinical trial committee of the IRS in May to prepare for a pre-IND meeting with the FDA. We are also pursuing novel compounds for Rett directed against two additional targets in collaboration with our joint venture partner, Atomwise. We are applying machine learning to drive compound progression and are establishing in vitro binding and cell-based functional assays for these targets to examine the relationship between target potency and degree of phenotypic rescue. We expect to identify lead candidates in 2022 and identify potential clinical candidates in the first half of 2023. We're excited by recent evidence we have obtained that both VYNT0126 and our novel Rett candidates act on distinct biochemical targets and exhibit a differentiated mechanism of action from the most clinically advanced Rett therapeutic candidates. CDKL5 Disorder is a neurodevelopmental condition characterized by early onset epileptic seizures, intellectual delay, and motor dysfunction. Although crucial for proper brain development, the precise targets of CDKL5 and its pathophysiological link to patient symptoms are not currently understood. While genetic testing is currently available to identify patients that have a mutation in the CDKL5 gene, limited knowledge of the underlying pathophysiology has hindered the identification of potential therapeutic targets and the discovery of drug candidates. CDD is an ultra rare neurodevelopmental disease with a defined unmet medical need with only one recently approved therapeutic treatment. To investigate the selected vulnerability of neurons for CDKL5 mutation patients, we conducted a single nucleus RNA-Seq study of CDKL5 mutant versus healthy neurosteroids. We observed the CDKL5 hyperexcitability phenotype is correlated with higher levels of expression of synaptic markers in CD neurons, which we confirmed by immunostaining. In addition, we observed a higher neuron astrocyte ratio and a reduction of expression of markers for inhibitory GABAergic neurons. We screened the custom library of approximately 5,200 molecules composed of FDA-approved drugs, molecules that past Phase 1 clinical trials and a panel phenotypic screening compounds with the goal to identify both novel drug candidates and potentially repurposing candidates for CDKL5 disorder. Approximately 288 compounds showed some degree of rescue of the CDD hyperexcitability phenotype. We conducted further confirmatory screening and identified 40 compounds that produce a full range of efficacy, resting a flipper phenotype in the CDKL5 specific manner. We are currently conducting full dose response curves to these promising molecules. In addition, in collaboration with our – with our collaborating partner Cyclica, we are applying a machine learning approach utilizing in silico screening to identify novel candidate molecules for three potential CDD targets that we will screen in our CDD organoids. We expect to identify potential lead candidates towards the end of 2022 and hope to identify Cyclica candidate in the first half of 2023. Parkinson's Disease is a progressive neurodegenerative disorder that affects predominantly dopamine-producing neurons in a specific area of the brain called the substantia nigra. Parkinson's Disease symptoms generally develop slowly over the years and include tremors, muscle rigidity, gait and balance problems, and slow, imprecise movements. The etiology of Parkinson's Disease is poorly understood but it is widely accepted that a combination of genetics and environmental factors are the cause. About 10% to 15% of people with PD have a family history of the condition, and family-linked cases can result from genetic mutations in a handful of genes, including the glucocerebrosidase and L-R-R-K-2, among others. On March 29, we announced a collaboration with Organo Therapeutics to advance our work on the identification of lead compounds that are expected to be disease modifying in Parkinson’s Disease. Organo Therapeutics has developed several proprietary familial Parkinson’s Disease patient-specific organoids that recapitulate Parkinson’s Disease pathology. The collaboration brings together the respective team's expertise in drug discovery using human derived cells, high throughput biology and chemistry, and machine learning based therapeutic design to gain insights in the patient-specific responses to potential PD drugs. Scientists from both sites will utilize complex patient-derived 3D organized models created from induced pluripotent stem cells to identify disease-linked clinically translatable assays and biomarkers through multiple molecular, biochemical and cellular approaches to identify drug candidates that rescue the familial PD phenotype. Our initial focus is on the GBA and LRRK2 familial mutations. By focusing initially on these familial Parkinson's Disease linked mutations, we expect to identify common causes and potential therapeutics approaches that can be extended into the much larger sporadic patient population. Our teams are actively executing on a research plan that we believe will accelerate our work to discover novel therapeutics for the treatment of PD, a debilitating disease impacting about 10 million patients around the globe. In summary, I am very proud of the progress the team has made over the first quarter of 2022 and we have become a fully integrated R&D team working seamlessly across two sites in San Diego, California and Maple Grove, Minnesota. Through the close collaboration of our cross-site and cross-functional biology and data science teams, we have made important discoveries identifying a differentiated method of action for our repurposed and novel Rett candidates. Finally, the Maple Grove team has successfully completed the transition from doing service-related work to become a fully-integrated R&D team working closely with our San Diego team to execute on our strategic vision to discover new medicines between neurodevelopmental and neurodegenerative disorders, major causes of death and disability worldwide. Thank you for your attention. And I now turn the call back over to Andy LaFrence, our CFO. Andy?
Andy LaFrence: Thank you, Bob. Hello, everyone, and thank you again for joining our call. Today, I will review our financial results for the quarter ended March 31, 2022. First and foremost, we ended the quarter with $16.4 million in cash. We also implemented two new vehicles to facilitate the raising of additional equity capital at the company's options with the finalization of the Lincoln Park equity line of credit, allowing us to access up to $15 million of capital as well as on a $14.5 million ATM with Canaccord Genuity. Our current cash balances, future proceeds from the sale of the vivoPharm business and usage of the equity line of credit and ATM are expected to fund operations well into 2023. During the first quarter of 2022, the company continued the process of divesting the vivoPharm business, which is expected to be completed this year. Therefore, the vivoPharm business is classified as held for sale and its financial information as discontinuing operations. The company's loss from continuing operations aggregated $4.4 million in the first quarter of 2022 and included non-cash depreciation and amortization as well as stock-based compensation of $98,000 and $278,000, respectively. And onetime severance charges of $437,000.  Discontinuing operations net loss for the March 31, 2022 quarter aggregated $4.8 million and included a non-cash impairment charge of $4.3 million, resulting from changed market conditions for contract research organizations from December 31, 2021 to March 31, 2022. Total revenue from continuing operations increased by 49.3%, or $100,000 to $303,000 for the three months ended March 31, 2022, as compared with $203,000 for the three months ended March 31, 2021. As we previously noted, we are winding down our revenue generation activities in the first part of 2022 to solely focus our resources on our research and development activities. Cost of goods sold service from continuing operations, totaled $38,000 and $64,000, respectively for the three months ended March 31, 2022 and 2021 resulting in cost of goods sold of 40% and 60% respectively of service revenue. Cost of goods sold product costs decreased by 12% or $48,000 to $348,000 for the three months ended March 31, 2022, as compared with $396,000 for the three months ended March 31, 2021. Research and development expenses increased by 89% or $731,000 to $1.6 million for the three months ended March 31, 2022 and from $820,000 for the three months ended March 31, 2021. This increase is principally due to $336,000 of increased payroll-related and consulting expenses, a $315,000 increase in research and development activities at our Maple Grove facility, and $48,000 of costs related to moving to our new facility in California. Selling, general and administrative expenses increased by $128,000 or $1.5 million to $2.8 million for the three months ended March 31, 2022, as compared with $1.2 million for the three months ended March 31, 2021. The 2021 period reflects the company as a privately held company, whereas the 2022 period, reflects the company as a publicly held company. The quarter ended March 31, 2022, includes incremental of $564,000 of payroll-related expenses, including the one-time contractual severance benefits for two former employees of $437,000. The company incurred incremental professional service fees of $472,000 in the first quarter of 2022, as compared with the same prior year period related to accounting, audit and other professional services and incurred $418,000 of additional insurance expense as a public company. I will close for now and hand the presentation over to Jay Roberts for closing remarks. Jay?
Jay Roberts: Thanks, Andy. As we come to the final part of today's call, I'd like to conclude with the following takeaways. First, I'd like to reiterate how pleased we are with the progress our scientific teams are making, on multiple fronts related to the existing programs we discussed today that our activities in the first quarter focused purely on establishing Vyant Bio's foothold in the biotech industry and helping to fuel our activities into the future quarter and the year beyond. Second, we believe the total addressable market in the two rare disease categories where we are focused is approximately $2 billion worldwide. And in the familial Parkinson's area, the addressable market is over $5 billion globally. So we think, our positioning and the competitive landscape in CNS disorders is highly favorable. Stay tuned, as we continue to make progress. And also invite you listeners to become more familiar with Vyant Bio. As news and information becomes available, we'll be communicating updates via press releases, LinkedIn our Vyant Bio website and other social media outlets. Interested parties are invited to sign up for press release distribution list, please visit our website. With that, I invite Andy and Bob to join me as we open up the line for Q&A. Operator?
Operator: Thank you. [Operator Instructions] Thank you. Your first question is coming from Ed White of H.C. Wainwright. Ed, please pose your question.
Ed White: Good afternoon. So just a question on 0126. You had mentioned previously that you were going to meet with KOLs and hope to draft plans for a pre-IND meeting with the FDA. I believe you had expected to make the request in May or June. I'm just wondering if you can give us an update on have you already done that, or what your plans are for meeting with the FDA?
Jay Roberts: Yeah, Ed. So the meeting isn't set up yet, but we are getting ready -- and in conjunction with the International Rett Foundation that Bob had talked about, and that's going to be part of that process, but we are intending to stay on that schedule that you just defined. Perhaps Bob, you have want to add a little bit more detail to that?
Robert Fremeau: Sure. We have a meeting scheduled with the clinical trial committee of IRSF on May 23 to review our clinical development plan for 0126 and we expect to submit our request for a pre-IND meeting at the end of June, early July, I believe. And we're discussing, progressing initially to an adult from this trial has just done from the two advanced clinical candidates and then to establish the [indiscernible] data we needed to go into the pediatric population. That's a follow-on.
Ed White: Great. Thanks, Bob. And another question, if I may. You had mentioned in the past potentially targeting Huntington's disease I was just curious if you've made any progress or have any plans for that indication?
Jay Roberts: So Ed, it's a great question. Thanks. So we are very focused on these two rare diseases and Parkinson's. And given this really strong interest in focusing on neurodegenerative and neurodevelopmental diseases that's the place where we're going to put all of our energy. And obviously, our capital and human resources will focus there for the foreseeable future. And then to the extent that we find other disease targets of interest, we'll certainly be talking about that more. But at the moment, we really do think it's important that we focus in these four programs that we've talked about today.
Ed White: Okay. Thanks, Jay. And perhaps a question for Andy. You mentioned the two financing vehicles. I'm just curious if you've tapped them yet this quarter?
Andy LaFrence: No, we have not. No. Ed, we have not.
Ed White: Okay. Thank you. That's all the questions I have. Thanks for that.
Jay Roberts: Thanks, Ed.
Operator: [Operator Instructions] Okay. Our next question is coming from Michael Mortensen of WestPark Capital. Michael, over to you.
Michael Mortensen: Yes folks. Thank you for taking my call. My concern is, first of all, I've got two questions. Has NASDAQ contacted you in regards to being below $1, the stock?
Jay Roberts: Hey Mike, hi, this is Jay. So, yes -- so no, we have not yet heard from Nasdaq at this point.
Michael Mortensen: Well, that's inevitable, right, at this price?
Jay Roberts: We, of course, don't know what might happen tomorrow.
Michael Mortensen: Well, there are requirements, Nasdaq has got a requirement to trade above $1. And within at the market, I mean, it's almost going to be below $1 unless something spec that happens. And then, of course, from there, it could become a potential reverse split, which is never good for the shareholders. And I'm just wondering where all of this great technology and stuff is going to benefit us, because, again, unless, of course, this meeting with the FDA and my last [indiscernible] be how soon will they contact you back after that meeting, because it's just with at the market, hitting the stock already below $1 to get it above that level, I mean, again, you'll get to six months, but I just don't see it. I'm just wondering how a shareholder is going to benefit from everything that's going on with their investment.
Jay Roberts: Yes. So as we talked about today, Mike, we're very optimistic, but quite happy with the results of our scientific team, and we're keeping our head down. We're very focused on the business. We've made meaningful changes in terms of focusing in neurological diseases as we think that was an important step for us continuing to just put our effort and time and energy into executing on our business plan. And we believe that we're on schedule and on time as it relates to that sort of the execution side of this is actually working as we have planned.
Michael Mortensen: Okay. So if this FDA meeting takes place on May 23, how soon could we expect the response from the FDA?
Jay Roberts: Bob, do you want to handle that, but we believe that it's like a 90 to 120-day window.
Robert Fremeau: The meeting on May 23 is with the International Red Simon Foundation Clinical Trial Committee will request a pre-IND meeting end of June. And then two months later, we'll have the IND meeting, which we anticipate will be in the September time frame, and then probably is another 90 days before they give a response to the request for the IND. The clinical trials will begin in 2023, assuming that we are granted the IND.
Michael Mortensen: Okay. Thank you very much
Operator: Thank you, ladies and gentlemen. I'll now hand back over to Jay for any closing remarks.
Jay Roberts: Thank you, operator, and thank you all for joining the call today. We're very happy with our progress so far, and we look forward to keeping everyone informed of our progress along the way. Thanks again for joining the call today, and have a great evening.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may now disconnect your phone lines, and have a wonderful day. Thank you for your participation.